Operator: Thank you for standing by. This is the conference operator. Welcome to the Intrawest Resorts Holdings’ Fiscal 2017 Third Quarter Earnings Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. I would now like to turn the conference over to Liz Derosier, Vice President. Please go ahead.
Liz Derosier: Thank you. Good morning, everyone, and welcome to the Intrawest Resorts Holdings fiscal 2017 third quarter earnings conference call. I would like to remind you that some of the comments made by management during the conference call contain forward-looking statements that are subject to risks and uncertainties that could cause actual results to vary, which are discussed in our public filings filed with the SEC, including reports filed under the Securities Exchange Act of 1934. We caution you not to put undue reliance on forward-looking statements. Forward-looking statements made during this call speak only as of the date of this call and we undertake no duty to update or revise these statements. In addition, some of the comments made on this call may refer to certain measures such as adjusted EBITDA, which are non-GAAP measures. Although adjusted EBITDA is not a substitute for net income or other GAAP measures, management believes adjusted EBITDA is useful in measuring the operating performance of our business. For a full reconciliation of adjusted EBITDA to GAAP results in accordance with Regulation G, please see our press release furnished as an exhibit to our Form 8-K dated May 4, 2017. This is located in the Investor Relations area on our website at intrawest.com. I will now turn the call over to Intrawest’s CEO, Tom Marano.
Tom Marano: Good morning everyone. This morning we reported results for the quarter ended March 31, 2017. Total segment revenue increased by $19.2 million to $333.4 million up 6.1% from the prior year period and adjusted EBITDA grew $15.7 million to $177 million, up 9.7%. We experienced growth across all segments with the largest contribution coming from the Mountain Segment were Skier business for the quarter were up 2.5%, revenue per visit was up 3.2%, and ETP was up 3.5%. Please refer to our press release furnished as an exhibit to our Form 8-K and our Form 10-Q, both dated May 4, 2017 for more information. As we previously announced on April 7, we entered into a definitive agreement to be acquired by a newly formed entity controlled by affiliates of the Aspen Skiing Company and KSL Capital Partners. We plan to file Intrawest information statement forms shortly and we recommend that all Intrawest stockholders read the materials related to the proposed merger transaction, which can be found in both the SEC’s website and Intrawest website. This concludes our prepared remarks. We will not be opening line for questions at this time. Thank you again for joining us this morning.
Operator: This concludes today’s conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.